Operator: Good day, and welcome to Udemy's Fourth Quarter and Full Year 2024 Conference Call. All participants will be in a listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. After today's presentation, there will be an opportunity to ask questions. To ask a question, you may press star then one on your touch-tone phone. And to withdraw your question, please press star then two. Please note this event is being recorded. I would now like to turn the conference over to Mr. Dennis Walsh. Please go ahead, sir.
Dennis Walsh: Thank you, Chuck. Joining me today are Udemy's Chief Executive Officer, Greg Brown, and Chief Financial Officer, Sarah Blanchard. For this call, we will also be joined by Udemy's Founder and Chief Technology Officer, Aaron Bali. During the conference call, we will make forward-looking statements within the meaning of federal securities laws. These statements involve assumptions and are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those discussed or anticipated. For a complete discussion of risks associated with these forward-looking statements, we encourage you to refer to our most recent Form 10-Ks and Form 10-Q filings with the Securities and Exchange Commission. Our forward-looking statements are based upon information currently available to us. We caution you to not place undue reliance on forward-looking statements. And we do not undertake and expressly disclaim any duty or obligation to update or alter our forward-looking statements except as required by applicable law. In addition, during this conference call, certain financial performance measures may be discussed that differ from comparable measures contained in financial statements prepared in accordance with U.S. Generally Accepted Accounting Principles referred to by the SEC as non-GAAP financial measures. We believe that these non-GAAP financial measures support management and investors in evaluating our performance and comparing period-to-period results of operations in a more meaningful and consistent manner. A reconciliation of these non-GAAP measures to the most comparable GAAP financial measures is included in our earnings press release. These reconciliations together with additional supplemental information are available on the Investor Relations section of our website. A replay of today's call will also be posted on the website. With that, I'll now turn the call over to Greg.
Greg Brown: Thank you, Dennis, and good afternoon to everyone on the call. Udemy ended the year strong with results that beat expectations across all key metrics. We delivered full-year revenue growth of 8% year over year, which includes two points of headwind from FX, and adjusted EBITDA came in significantly above the high end of our guidance range. This performance reflects the disciplined execution of our strategy and a relentless focus on operational efficiency. As we close out 2024, I'm proud of the Udemy team for their invaluable contributions to the momentum we have built and the foundation we've laid for the future. There's still work to be done, and although 2025 will be a transition year, we're confident that we have a clear plan to capture the significant opportunity in front of us and reaccelerate our growth. Looking back in 2024 reminds me of our partner McLaren's incredible journey to winning Formula One's 2024 Constructors Championship. Just as McLaren continuously adapted to challenges and introduced bold innovations, we too embrace change. We refine our strategy and are leaning into accelerating product innovation. In F1, success is all about agility and precision, whether it's making critical pit stop decisions or deploying game-changing technology. Similarly, in our business, adapting to market dynamics and staying laser-focused on delivering value for our customers is crucial. All partners' journeys underscore the importance of resilience, innovation, and the willingness to adapt to change in order to cross the finish line as a leader. Recognizing that it's how you execute and evolve that will ultimately define success. Udemy embarked on a strategic transition over the past few months to refocus our resources upmarket to better serve our large enterprise customers. We firmly believe our approach to focus on these highest return opportunities is the right one. And it's the most impactful way to drive long-term growth and value creation. This shift aligns with the evolving demands of the market, where large enterprises are prioritizing scalable, comprehensive solutions to meet their business needs. Today, I'm pleased to share early signs of progress on the execution of our strategy. ARR growth from large enterprise customers was four points higher than ARR growth from SMB customers, and we closed nearly fifty deals over a hundred thousand in ARR, the most for any quarter this year. Further, large enterprise customers continue to show higher retention rates compared to SMB customers, while upsell and cross-sell opportunities within this cohort are yielding tangible results. Analog Devices, Arm, and Nasdaq expanded relationships with us during Q4. These early results are promising. We're deepening our penetration into the smarten segment, the unit economics are stronger and are solidifying Udemy's position as a leader in shaping the future of work around the world. Large enterprises also understand the urgency of upskilling their teams to stay competitive, especially in the face of rapid technological advancements like generative AI. Business leaders recognize that AI has the potential to rapidly reshape their companies, industries, and the future of work as a whole. And now they are turning to Udemy to support their plans to develop and implement holistic AI and upskilling strategies. According to the World Economic Forum's 2025 Future of Work, approximately 80% of companies plan to reskill and upskill their workforce over the next five years to take advantage of the power of AI. Further, workers can expect that on average, approximately 40% of their existing skill sets will be transformed or become outdated by 2030. As organizations begin to scale their AI projects to optimize processes, enhance decision-making, and drive growth, workers will be required to quickly develop proficiency. Udemy is uniquely positioned to help close the skills gap by empowering both enterprises and individual learners with tailored learning paths that align with AI's rapidly evolving role in the workplace. Our recent data illustrates this point, showing a nearly 10x increase in generative AI course consumption on Udemy in 2024. While AI capabilities unlock immense potential, it's soft skills like leadership, creativity, and communications that will determine whether individuals and organizations thrive. To that end, Gartner reports that 85% of business leaders expect the need for soft skill development to increase significantly in 2025. For enterprise leaders, the challenge will be equipping their teams with technical proficiency and fostering the soft skills needed to navigate complex AI-enabled environments. Udemy's platform addresses both needs, offering a holistic approach that combines technical and soft skills development. We're incredibly well-positioned to meet this moment, and we're starting from a position of strength. Our unparalleled marketplace is a unique collection of the most relevant professional skills development content for the most in-demand topics. Every day, learners from more than 17,000 businesses worldwide are actively engaging with our curated content, rating and reviewing it, sharing outcomes, and signaling demand for new skills as emerging technologies are introduced. This creates a dynamic flywheel that empowers individuals and organizations to build skills at the pace of change. Udemy's speed-to-market advantage to address skills needs is unmatched and will solidify our position as the go-to skills development destination for professionals and enterprises alike. As a recent example, DeepSeq AI made a big splash last month. The unprecedented rise of DeepSeq shows that innovation is not slowing down. It's accelerating. Just a few days after its models were released, Udemy had more than ten DeepSeq courses across multiple languages. And we did not see any from our leading competitors. Content is the foundation upon which Udemy was built. We will combine this with the scale of our marketplace and AI-enabled learning experiences to lead the next generation of learning and skills development. Soon, every learner, no matter where they are, will have access to the equivalent of an expert guiding them through their career and upskill journey. Before I wrap up, I want to outline our strategic priorities for 2025. First, we're allocating resources toward large enterprise customers where we see the greatest opportunity for growth and the highest returns on our investments. By focusing our efforts on this cohort, we can leverage our platform to deliver strategic impact at scale. As we said last quarter, we will continue to support our existing SMB customers and would be more efficient in pursuing new SMB customers. Second, with only about 10% penetration, prioritizing deeper engagement with our existing large enterprise customer base. Many of these customers have only begun to scratch the surface of the value that Udemy can deliver, and our goal is to help them unlock the full potential of our platform. This includes expanding adoption across departments, delivering AI-powered role-specific learning paths, and deepening relationships with decision-makers to drive higher renewal rates and upsell opportunities. Third, we will continue to support growth through strategic partnerships. Strengthening our global distribution capabilities, opening new routes to market, and offering additional ways to access the Udemy platform are all essential components of this strategy. Fourth, we're revitalizing our consumer marketplace, which remains a critical part of Udemy's unique value proposition and fuels the growth of Udemy Business. While this segment is facing headwinds, we're poised to be the go-to destination for career development. We're taking decisive action to return the segment to growth in an efficient way. The work we're doing to focus the learner experience on career development will be impactful across both consumer and Udemy Business segments. Finally, we will continue to drive operational efficiency across all areas of the business to ensure we maintain our durable business model and the ability to respond to evolving market dynamics and invest in our future. In 2024, we executed on a $50 million cost savings program, which is already driving increased profitability and giving us flexibility to make targeted investments in our product roadmap and will accelerate our growth. These five priorities represent the pillars of our strategy for 2025. We're as excited as ever about our future. Udemy is well-positioned to harness the power of AI throughout our platform, and we're confident that our efforts and product roadmap will enable us to capture the immense opportunity ahead. We've taken some hard but important steps, and 2025 represents an important transition year that will enable our next chapter of success. We're thrilled to have our founder, Aaron Bali, back at Udemy in the role of Chief Technology Officer and on our call today. His visionary approach and deep understanding of our platform make him the perfect leader to accelerate product innovation. Aaron created the foundation that makes Udemy so unique, and now with the power of generative AI, he's poised to take the learning experience to an entirely new level. And with that, I'll now turn the call over to Aaron.
Aaron Bali: Thank you, Greg. I'm really excited to be back at Udemy, even more excited about where we are headed. As you may know, I was on the boards of Udemy for the whole time. So I want to give you some color on why I rejoined Udemy with an operating role. Every decade or so, industries go through a fundamental transformation. In early 2010, Udemy led one of these transformations alongside a few of our peers by simply making online courses widely accessible. Even though on-demand courses aren't necessarily the most effective way to learn for everyone, they worked because they were incredibly scalable and affordable. The online education industry did know that the most effective way to learn is one-on-one personalized training. It outperforms one-to-many training by two orders of magnitude, which is known as the Bloom two sigma problem. But technology wasn't there to make that available to everyone. But see, that's changing. We are about to enter a new era of learning, one defined by AI, personalization, and immersive experiences. Soon, every learner, no matter where they are, will have accepted the equivalent of a top expert in the world sitting next to them and guiding them through their learning journey. I came back to Udemy to make sure we lead this transformation just as we did the last one. It's been four months since I rejoined Udemy, and since then, we have streamlined all product development, designing content teams underneath to accelerate execution. We have an ambitious product roadmap for 2025, probably the most ambitious in our history. Today, I want to highlight three key themes: leveraging the power of our marketplace model to scale assessments and hands-on learning, becoming the go-to destination for career assessment, and investing in interactive learning for soft skills. I want to start with our marketplace model, which is what makes Udemy unique in the online education space and something no other competitor has been able to replicate so far. While most companies in our space operate as content publishers, we have built an instructor-driven marketplace with more than 80,000 subject matter experts. They're continuously creating and updating content, which gives us a major advantage in both breadth and freshness. But modern learning experiences require more than just content. It is equally important to incorporate assessments and hands-on practice to reinforce learning. Evolving hands-on learning environments and skill evaluation assessments is a little bit more complicated. So historically, we followed the publisher-style approach to building them. However, we have seen firsthand that when we provide instructors with the right tools and the right data, they can produce at a scale and quality that we cannot match. In the same amount of time it took for us to build 20,000 questions for in-house produced assessments, our instructors created 8 million questions. Similarly, instructors built 15,000 coding exercises in the same time it took us to develop a few hundred development labs. So this year, we are doubling down on the marketplace-first approach by enabling our instructors to create hands-on learning labs and assessments into their courses. This will dramatically scale assessment and practice coverage for Udemy in a way no competitor can match. And we will leverage AI to make this even more frictionless. The second thing I want to talk about is career-oriented learning. Right now, Udemy is the go-to destination for professionals who know exactly what they need to learn. If you want to learn Kubernetes, Figma, or financial modeling, you can find the course that fits you, and you are good to go. But if you want to become a game developer, a financial analyst, or a cloud architect, it's not obvious where you will start. Our vision is to make Udemy the most intuitive and least intimidating place to begin a new career journey or switch roles at the company. And we are not just talking about a few in-demand tech jobs like machine learning and data science. Our goal is to expand this to every career that you can imagine by leveraging our massive marketplace scale. Switching careers has to become a lot less stressful in the future because it will happen at a higher frequency as AI continues to change workplace expectations. We will be launching the initial Udemy Career Academy in the future of this year. These academies will give learners a structured pathway and a community to success in careers. This is a massive opportunity to expand our reach and increase learning engagement. The last area I want to discuss is interactive hands-on learning, especially in soft skills training. We all know that AI is rapidly reshaping every industry, function, and role. To excel in an AI-driven workplace, professionals need more than technical expertise. They will also need soft skills like leadership, negotiation, and communications. In the coming months, we are launching AI-assisted role-playing simulations that create interactive learning experiences, especially focused on developing this type of skills. What is different about our approach is we are building a platform that enables our instructors to easily create real-world role-play scenarios for every subject they are teaching. Given the scale of our instructor network, we expect to have thousands of role plays available by the end of this year. And this is just the beginning. We also plan to open serious gaming experiences to help learners apply business concepts in real-world interactive simulations. Just to be clear, these will not be basic gamification features. We are developing fully immersive AI-powered game-like experiences, which has been a decade-long passion for me. With AI, we will be able to build things that were hard to imagine before. Considering all of that, I couldn't be more excited to be back at Udemy to lead the next phase of the industry's transformation. Combining the power of the marketplace with AI innovation, we are building learning experiences that are more interactive, engaging, and scalable to meet the growing needs of our customers. I started this company fifteen years ago to give everyone in the world access to learning that could change their lives. We, by and large, achieved that. Now we are setting a new goal: giving everyone in the world access to a learning experience that is as effective as one-on-one training. The two sigma problem is about to be a thing of the past. With that, I will turn the call over to Sarah.
Sarah Blanchard: Thank you, Aaron. I'll cover the key financial highlights and our outlook. You can find the complete set of financial tables in our news release on our investor relations website. We are pleased to end the year with strong financial results. For the full year, we outperformed our guidance for both revenue and adjusted EBITDA margin. Revenue of $787 million increased 8% year over year, including a negative impact from FX of two percentage points. Within that, Udemy Business revenue increased 18% for the year, while consumer revenue was down 5%, including a negative impact from FX of two percentage points in both segments' growth rate. On the bottom line, we delivered $43 million in adjusted EBITDA or a 5% margin. What's particularly exciting is how far we've come in just two years, having delivered an adjusted EBITDA loss of nearly $50 million in 2022. A testament to the disciplined execution of our strategy and the resilience of our business model even amid a dynamic macroeconomic environment. That said, 2025 will be a transition year for us, as we execute on our strategic priorities Greg laid out, so we remain measured in our outlook. I'll get to that in a moment. Now I'll review the highlights. Fourth quarter revenue increased 5% year over year to nearly $200 million. With more than 60% of our total revenue coming from outside of the US, we had a negative impact from FX to our year-over-year growth rate of two percentage points. We ended the year with Udemy Business annual recurring revenue or ARR of $517 million, up 11% from a year ago, while ARR from large enterprises was up 12%. Udemy Business revenue for the quarter was $130 million, an increase of 13% year over year, including a two percentage point headwind from changes in FX rates. For Q4, we added approximately 250 new Udemy Business customers, increasing our global customer base by 9% year over year to more than 17,000. Within that total, more than 5,600 are large enterprises, an 11% increase year over year. We were also encouraged that we only experienced a single point decline for both total and large enterprise net dollar retention rate this quarter. Our consolidated NDRR at quarter end was 98%, while the rate was 103% for large customers. The rate of decline has slowed compared to prior periods, signaling that our retention dynamics are stabilizing. This is important as it reflects the strength of our customer relationships and the effectiveness of our effort to drive deeper engagement even in a budget-constrained environment. Gross margin for our Udemy Business segment came in at 75% for the fourth quarter, up 600 basis points from the prior year, primarily due to the instructor revenue share change that went into effect on January 1, 2024. We lowered the instructor take rate again on January 1 to 17.5%, which we expect will contribute another 200 basis points of gross margin expansion for the full year. As a reminder, the take rate will move down to 15% next year, which will provide an additional tailwind to our margins in 2026. Turning to the consumer segment, as expected, fourth quarter consumer revenue of $70 million was down 7% on a year-over-year basis, including a negative two percentage point impact from FX. The year-over-year decline was primarily driven by lower individual course purchases and was somewhat offset by growth from our personal plan subscriptions. Despite revenue headwinds, Udemy's marketplace remains vibrant, instructors added well over 5,000 courses each month during the fourth quarter. As we move down the P&L, note that all financial metrics are non-GAAP unless stated otherwise. Q4 total company gross margin was 64%, a 500 basis point improvement from Q4 of 2023. The improvement was driven by the instructor revenue share change as well as a continued revenue mix shift to Udemy Business, which accounted for approximately 65% of total revenue in the quarter, an increase of 400 basis points year over year. Total operating expense was $150 million or 58% of revenue, 200 basis points lower than Q4 of last year, primarily driven by our cost savings initiatives. On the bottom line, we delivered net income of approximately $60 million or 8% of revenue. Adjusted EBITDA was approximately $90 million or 10% of revenue, representing a nearly 800 basis point expansion year over year. The better-than-expected adjusted EBITDA result was driven by our revenue outperformance, ongoing focus on operational efficiencies, and cost savings initiatives. We recognized $5 million in non-recurring restructuring charges in the quarter. Which brings us to our key cash flow and balance sheet items. We ended 2024 with $356 million of cash, cash equivalents, restricted cash, and marketable securities, while free cash flow for the year was a positive $38 million. We also used $150 million in cash to buy back 60 million shares through a repurchase program during the year. In line with our strategic priority to drive operational efficiencies, we are committed to disciplined expense management. Over the past few months, we have taken deliberate steps to ensure that our business model is resilient and consistently generates cash flow. By focusing on initiatives that deliver high returns and support scalable revenue, Udemy is well-positioned to generate cash flow even in periods of macroeconomic uncertainty. Our efforts have allowed us to deliver meaningful margin expansion while also converting a greater percentage of revenue to cash flow. With more than 65% of our revenue and growing now coming from subscription-based offerings, including Udemy Business and personal plan subscriptions, we have a high degree of revenue visibility and predictability. Looking ahead, we remain disciplined in how we deploy capital. Our priorities remain, first, reinvest in the business to fuel sustainable growth, second, explore opportunistic M&A that aligns with our strategic objectives, and third, return excess cash to shareholders when appropriate. Now to turn to our guidance and introduce our outlook for 2025. We are cautiously optimistic about the year ahead and our ability to remain agile navigating evolving market conditions. As you can see from our strategic priorities, our focus is on building our foundation to drive long-term sustainable profitable growth while managing costs prudently, accelerating innovation, and delivering value for our stakeholders. For full-year 2025 revenue, we expect to be in the range of $787 to $803 million, representing flat to up 2% year-over-year growth, including a two percentage point headwind from FX assuming exchange rates remain constant. For modeling purposes, the midpoint of the guidance implies Udemy Business revenue increases approximately 5% year over year, including approximately one point of headwind from FX. As we noted on our Q3 call, 2025 Udemy Business revenue growth is expected to be impacted by the $20 million reduction in SMB sales capacity. We continue to expect revenue from large enterprises to grow faster than that from SMBs. For consumer, the midpoint of guidance implies revenue for the year to be down approximately 6% year over year, including a negative three percentage point impact from FX. As you heard from Greg and Aaron, revitalizing the marketplace and returning to segment growth is a priority for us. On the bottom line, we expect to deliver full-year adjusted EBITDA of $75 million to $85 million or approximately 10% of revenue at the midpoint. We are raising our expectations for full-year adjusted EBITDA by approximately $10 million, giving greater visibility into 2025. With respect to the first quarter, we expect revenue to be between $195 million and $199 million, representing roughly flat growth year over year at the midpoint. Assuming exchange rates remain constant, FX is expected to negatively impact Q1 revenue growth by two percentage points. For modeling purposes, the midpoint of the guidance implies Udemy Business revenue increases approximately 7% year over year, including a negative one percentage point impact from FX, while consumer revenue would be down 10% year over year, including a three percentage point negative impact from FX. On the bottom line, we expect to deliver adjusted EBITDA of $17 million to $19 million or approximately 9% of revenue. As a reminder, Q1 includes some redundant OpEx expenses tied to our $50 million cost savings initiatives. Looking ahead, while 2025 is a transition year, we expect the work we have completed to restructure the organization sets us up to improve our growth in 2026 and beyond. Given the efficiency actions, we have increased confidence in delivering our target of $130 million to $150 million in adjusted EBITDA in 2026 and continue expanding towards our target of 20% adjusted EBITDA margin in 2027. In closing, as we navigate an environment where change is accelerating at an unprecedented pace, creating a greater need for workforce upskilling and a significant opportunity for Udemy, we remain committed to a balanced approach between growth and profitability. By doubling down on our scalable marketplace model and accelerating product innovation, we are well-positioned to take advantage of the massive opportunity ahead. We look forward to keeping you updated on our progress. So with that, we'll open the call for your questions. Moderator?
Operator: We will now begin the question and answer session. If you're using a speakerphone, please pick up your handset before pressing the keys. And to withdraw your question, please press star then two. And at this time, we'll pause momentarily to assemble our roster. And the first question will come from Jason Tilchen with Canaccord Genuity. Please go ahead.
Jason Tilchen: Good afternoon. Thanks for taking my question. I guess, first thing I'm curious about is how conversations with existing customers have sort of evolved over the past few months, and if you could share a little bit more about their sort of interest in uptake in some of the soft skills capabilities that you've been adding over the past year or so. And then sort of a follow-up to that is if you could talk a little bit about the investment that's needed to introduce some of these role-play simulations that you talked about in the prepared remarks. Thanks.
Greg Brown: Yeah. Thanks, Jason, for the question. Look, as indicative of our performance in Q4 over the last few months, you know, we've seen, you know, positive signals from, you know, our large enterprise customers around the world. You know, we had a strong quarter in EMEA and Latin America. We had more large deals over a hundred k in Q4 than we've seen in a year, and win rates improving as well. So all positive signs right now with respect to the environment we're operating in and that our strategy and the programmatic approach that Rob, our CRO, has laid out in terms of how we're going after these top five verticals and structuring ourselves to win disproportionately. It's had the desired effect. So really pleased with what we're seeing right now in terms of our execution and the environment we're operating in. I'm gonna let Aaron answer the question with respect to role-play.
Aaron Bali: Yes. So in terms of the size, I'm very confident with the current size of the R&D team. So we did not need any new resources, but we mostly reoriented our priorities to make the role-play the priority. And I think they've been moving very fast into open doors.
Jason Tilchen: Thank you very much.
Operator: The next question will come from Ryan MacDonald with Needham. Please go ahead.
Ryan MacDonald: Hi. Thanks for taking my question, and congrats on a nice quarter. Maybe digging in a bit deeper to the consumer marketplace revitalization. It's great to see some of the incremental feature and functionality investments here. Do you expect as they roll out that these are sort of incrementally monetizable sort of updates or enhancements to the marketplace, or do you find this as a way to sort of maybe better incentivize either its conversion to the consumer subscription or just more sort of elongated active engagement within the learner population? Thanks.
Sarah Blanchard: Hi, Ryan. Thanks for the question. So a little bit of both. So the monetization, much of it will be better engagement and retention and certainly moving to our higher LTV subscription. But also, there will be some additional monetization around things like our career academy. So it is a mix of both, and we're really excited to bring some of these capabilities on the platform.
Operator: The next question will come from Josh Baer with Morgan Stanley. Please go ahead.
Josh Baer: Thanks for the question. Was hoping you could comment a little bit on how the interest in non-AI versus AI courses differ both from the instructor kind of marketplace perspective, creating new courses, and also from the learner perspective.
Greg Brown: Yeah. Thanks for the question, Josh. Now in terms of, we touched on this a little bit, but in terms of interest in non-AI related courses, really, the uptick has been on soft skills. And, you know, those areas we called out. You know, communication, leadership, change management, and all the skills that are necessary for organizations to manage through a very dynamic environment. And leadership is in there as well. We're seeing a significant uptick in interest around leadership development. So yeah, it bodes very well for us. We've got the broadest platform in the category to be able to, you know, address an organization's technical AI-related and development-related skills development needs as well as, you know, the areas I just mentioned and more with respect to soft skills. So you know, and that's I'll just give a quick anecdote. I like to layer these stories. And as you guys know, we saw a number of consolidations, you know, one of which was wall-to-wall, 130,000 employees, large multinational healthcare company. And it was exactly that. They came to us because they felt like we could serve their needs both on the technical as well as soft skills, you know, areas that are necessary for them to support learning across the organization and across the globe, very multinational in nature in terms of the customer, and that's pretty indicative of the types of trends we're seeing. So, you know, really happy to see that type of momentum and it really does play in our favor.
Josh Baer: Thanks, Greg. One for Sarah. The PR talked about the completion of the $150 million buyback, and I know you listed return capital to shareholders third on the list. Just wondering what happens next from a buyback share repurchase perspective.
Sarah Blanchard: Thanks for the question. You know, we're gonna continue to be really disciplined about capital allocation. We talk about this every quarter, and really balancing fueling that sustainable growth with making sure we have the dry powder for M&A to be opportunistic there. And then also being opportunistic and when it's the right time, returning capital to shareholders. You saw us complete that $150 million buyback. We were, you know, pleased to do that last year. So we're just gonna continue to be disciplined and make the right calls at the right time.
Josh Baer: Okay. Thank you.
Operator: The next question will come from Stephen Sheldon with William Blair. Please go ahead.
Stephen Sheldon: Hey, thanks. Just wanna start, I guess, on the UB guidance. I think if we if I heard you correctly, Sarah, I think if we assume a 7% year-over-year revenue growth in UB for the first quarter, I think it would imply that the revenue is down sequentially. I think that that would be the first time that's happened, and at least the metrics that I've seen. So, yeah, how much of that is gonna be down sequentially, how much of that would be due to FX? How much of that would be due to some of the cost cuts that you're making in the SMB side? And then I guess, would you expect sequential growth then in revenue for UB as we progress through the rest of the year?
Sarah Blanchard: Yeah. Great question. Thanks. There's three factors. You named two of them. The impact of the FX headwinds that we have and the pullback in $20 million of SMB capacity, which really hit our revenue for the first time in the first quarter. As we pulled that capacity back in the fourth quarter. The third factor is this quarter is the shortest period from a number of days in that quarter compared to other quarters. So we're able to report less revenue associated in that quarter. But we would not expect that small decline sequentially to continue going forward.
Stephen Sheldon: Got it. Okay. That's helpful. And then on some of the key initiatives, the career-oriented learning, I think that sounds really interesting. I think you kinda talked about maybe having career academies launched at Q2. Just any more detail on where you might be starting, what those career pathways could look like, just more detail on how you're thinking about going after the career opportunity.
Greg Brown: Yeah. We are excited about it. I'll let Aaron come in on that.
Aaron Bali: So we will be launching six of them early in the first half of this year and then there's seven coming. I just really nailed the format. We are choosing an extra diverse set of careers to start with, so we're not going to be exclusive to tech jobs or we are really, you know, very different subjects we are covering with it. We are trying to really with the first batch, trying to understand the learners' engagement with more longitudinal learning with a community model. But once the model works well, then we'll be scaling a lot faster in the future years.
Sarah Blanchard: I'll just add to that. One of the things we're really excited about is the shift to a career focus is really great. Career academies and the consumer, how that's gonna affect the consumers and our consumer learners. But also really impactful on the Udemy Business side. As you think about employees as learners and them really looking to upscale within their role, make sure they have the skills that they need, move to another role, and from a UB organization perspective, having those tasks and those kind of full career academies available. It's gonna be a game changer.
Stephen Sheldon: Got it. So there could be opportunities there both with individual consumers as well as potentially filling that more at the enterprise level.
Sarah Blanchard: That's right. That's exactly. Maybe I'll by the way, I would just say almost every single thing we are doing this year is dual. It says both consumer and enterprise use cases. Like, think one of the things I changed is almost everything that has appeal to both sides is we are launching it in both platforms simultaneously.
Stephen Sheldon: Got it. Good to hear. Alright. Thank you.
Operator: The next question will come from Curtis Nagle with Bank of America. Please go ahead.
Curtis Nagle: Great. Thanks so much for taking that question. Maybe first one for you, Sarah. So a hundred Oh, sorry. Ten million more of EBITDA for this year. So that's good to see. For 2026, you had previously given out targets, I think, one thirty to one fifty. Should we flow through that incremental one sorry. Yeah. Ten million? Next year?
Sarah Blanchard: That's a great question. No. Our target is still one thirty to one fifty for 2026. And just to share a little bit about the path from the, you know, seventy-five to eighty-five this year, we get there next year. You know, we will be making those improvements in the gross margin side. That's gonna come from continued revenue mix shift to Udemy Business and the revenue share changes that we've already announced. We'll also have the full-year impact of the cost savings initiatives which we have made great progress on those and we're almost at the tail end of any actions associated with that. We'll finish that up this quarter. And then, you know, the better unit economics that are upmarket in the large enterprise. And so, you know, we have a great path here going forward, and you can expect that one thirty to one fifty in 2026 on the EBITDA side.
Curtis Nagle: Okay. Great. Then maybe let's see. One other one just in terms of what gives confidence that we should expect to see a consumer accelerate? Through the year in terms of revenue?
Greg Brown: Yeah. I'll start and let Sarah jump in. But the product innovation that we're bringing to market this year. We're gonna do more this year than any year in the company's history. And it's you heard us talk about career academies. There's a lot more we're gonna be bringing online and rapid succession. That's gonna have a dual impact as Aaron and Sarah just alluded to. That, you know, we made launch most of it's gonna be simultaneous launch, you know, in some cases, we will go first in the consumer side. Like Aaron mentioned, just to work the kinks out, and then we'll roll everything out across the entire platform to all learners in both sides of the house. And, you know, as that momentum starts to build, you know, we have a lot of confidence and the impact it's gonna have both on the consumer and UB side. So you know, we'll be able to obviously share more as we progress throughout the year in terms of, you know, quantifiable exactly what that impact looks like. But there's a lot of optimism in the house right now. Sarah, I don't know if there's anyone to add.
Sarah Blanchard: I would just add, you know, we have to shift to the career focus that's really important. Are additional changes that we're making to the marketplace to increase engagement and retention. And so, you know, we're just gonna continue to really leverage our dynamic flywheel and collect feedback from our learners and make sure that products that we're putting out there are hitting the mark, and then we'll put the gas on them.
Curtis Nagle: Okay. Thanks very much.
Operator: The next question will come from Terry Tillman with Truist. Please go ahead.
Connor Passarella: Great. This is Connor Passarella on for Terry. Appreciate you taking my question. I just wanted to follow-up around the commentary on win rates and consolidation. Any changes that you've seen to the competitive landscape that you would call out maybe just what are you seeing in terms of competitive fuel cycles?
Greg Brown: Yeah. Thanks for the question. No material changes in a competitive landscape. Our win rates are up. We talked about that. And really from our standpoint, it really is a direct reflection of execution against our strategy. You have a more focused strategy, in those key verticals we've called out in the enterprise. Enabling us our sales organization to be more effective, at selling through our existing customer base as well as to new company general verticals. And, you know, we're optimistic about the impact we saw in Q4 and we do expect those leading indicators to continue to show positive signs as we trend throughout the year.
Connor Passarella: Thank you.
Operator: Your next question will come from Yi Fu Lee with Cantor Fitzgerald. Please go ahead.
Yi Fu Lee: Thank you for taking my question. I guess maybe start with Greg or Sarah. I have a more macro high-level question. Was wondering if you could give us a sense of, like, the observations you've seen in corporate spending now that the new administration is in for about sixty days. And any commentary on not trying to bring politics into this, but, like, is if the Department of Education is will be eliminated with would this be a tailwind or any harm material? For business that you use? And then I have a follow-up with Aaron.
Greg Brown: A good question. I'll start. And, Sarah, you can feel free to add. Know, this early on, we're not seeing any material impact with respect to buying processes. Yeah. Respected to the new administration coming online, look. It remains to be seen in terms of, you know, the cuts and the modifications and adjustments the administration is gonna be making throughout the year and what that impact could look like. So what I will say is, you know, we have heard this new administration talk about the focus on skills. And how important it is for skills development to be happening, you know, in companies large and small throughout the country. And that's and that's what we do. Right? And that's I mean, quite frankly, that's what we're built for. It's to help organizations and learners develop the skills necessary to achieve the outcomes they're looking to achieve. And, you know, we're very focused on our strategy and executing as effectively as we can and we're very confident we'll be successful, you know, regardless of what changes the administration decides to make.
Yi Fu Lee: And, Greg, any, like, commentary or in terms of, like, the budget, like, if the the LB budgets for, like, enterprises, any commentaries you see on on the ground? You have that?
Greg Brown: I would say no material changes. Although we are starting to see it's too early to call. But we did have a, you know, a successful Q4. And, you know, we're our ears to the ground in terms of making sure that we're understanding any dynamics that are changing within the buying processes with our existing customers and net new customers, and, apparently, some of that success in Q4, you know, and leading into now Q1 could point to let's just say budgets starting to open up a little bit as a result of the new administration coming online and some anticipation of what the economic environment's gonna look like, but it's too early to call. I need we're gonna need another quarter or two to be definitive on that.
Yi Fu Lee: Got it. Thanks for that. That's interesting to help. Yep. Sarah, sorry. Again, if you have a question, Oh, okay. Sorry. Can I just dial number for Aaron? Terms of the product roadmap, Aaron, I think you mentioned you think leveraging Gen AI to help you with assessments. Was wondering, like, you know, what's the timeline for this R&D process? You know? You know, what do you hear from the early, like, I guess, like, the the early modeling, you're you have on this the new product side?
Aaron Bali: Thank you for the question. So, yeah, we are using actually, it's almost almost as soon as I joined, I maybe changed our assessment approach and especially have used AI. My goal is to have very broad assessment coverage about virtually every subject we are teaching. And but the idea is actually pretty cool. What we look at the content on Udemy, and understand it create a very granular skill tree for every subject. And we are using AI to suggest questions certain scenarios, instructors are looking at those questions and reviewing them and finalizing them. In other cases, we actually push those questions to our consumer marketplace and have real consumers answer those questions. We are algorithmically evaluating which questions are higher quality or lower quality, and eliminating the ones which don't pass our bars. And keep the ones that hit. And this process is all live, by the way. So this is not a future thing. So we are already doing this. We are just slowly ramping up into more subjects. Yeah. Tech is pretty much their take a year to kind of go from topic to topic. Just to give you some scale, comparison, last year, we launched twenty-five topic assessments covered. First half of this year, we'll probably triple that. And then second half, even higher than that, in by 2026, we'll have we assume the system is gonna be fully stable and quality assured. And you can really just expand the accuracy every time. But it is the core platform is already running live in certain subjects. They're just slowly rolling down.
Yi Fu Lee: Got it. Thank you very much.
Operator: Again, if you have a question, please press star then one. The next question will come from Devin Au with KeyBanc Capital Markets. Please go ahead.
Devin Au: Great. Thank you. Thanks for taking my question. Just one, but maybe maybe for Sarah, was hoping if you could maybe share some color on ARR growth and enterprise kind of expectation of that. In 2025? How we should think about how net new will trend sequentially from 2024 and throughout 2025, just given, you know, that metric is kind of a leading indicator for revenue in that line. Do you expect ARR to maybe recover sooner in the back half versus revenue? Any of the colors you can add would be appreciated.
Sarah Blanchard: Yeah. That's a great question, and that is what we expect because ARR is a leading indicator. So we'll be working through from a net new ARR perspective, you know, we'll be working through that smaller SMB capacity and the ramping of all the teams where we've shifted territories. The beginning of the year. So the net new ARR will be a little bit more muted in the first half. Ramping up in the back half and then the ARR or the revenue will follow.
Devin Au: Great. Thank you so much.
Sarah Blanchard: Thanks for the question.
Operator: This concludes our question and answer session. I would like to turn the conference back over to management for any closing remarks. Please go ahead.
Greg Brown: Yes. I would just like to thank you all for joining the call today, and we look forward to connecting again in May for our Q1 update. Have a great afternoon.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.